Lluc Sas: Good morning, and thank you for joining Sabadell's results presentation for the fourth quarter and the full year 2025. We are joined today by our CEO, Cesar Gonzalez-Bueno; and our CFO, Sergio Palavecino. The presentation will follow a similar format as in previous quarters. First, our CEO will walk us through the key highlights of the year. Then our CFO will go into the financials and the balance sheet, before our CEO concludes with closing remarks. Finally, we will open the floor for a live Q&A session where you can ask your questions. So Cesar, over to you.
Cesar Gonzalez-Bueno Wittgenstein: Thank you, Lluc, and good morning, everyone. We announced yesterday that the Board of Directors of the bank and I have agreed on my resignation as Sabadell's CEO, while Marc Armengol has been appointed new CEO. These changes will take place around May, following our AGM, and once regulatory approvals have been obtained. Until then, I will remain as Sabadell's CEO, and Marc will remain TSB's CEO. And I think now is the right moment for me to step down, and I say that absolutely sincerely. Our current strategy -- strategic plan is solid and well-defined and supported by everyone, including Marc, who has been a great part of its construction. Targets for '26 and '27 are ambitious but achievable, and we are in course. And now it's all about execution, execution and execution of the current plan and planting seeds for an exciting future. Therefore, the bank is on the right track to deliver its targets. And just very briefly, on a more personal note. Look, I had opted for retirement 6 years ago. And the opportunity of joining Sabadell was so tempting that I couldn't let it pass. I was called for this project. I could not refuse. It has been far more exciting and rewarding than I could have expected. And I think now, it's the time to go. But on top of delivering on our plan, Sabadell also needs to start thinking about this future beyond 2027. There's an increasing number of opportunities from banks arising from technology in general, and from artificial intelligence, in particular. I think we have done a tremendous development in digitalization, but AI goes beyond, and that plan needs to be accelerated and it will transform the bank not in the next year, but in the years to come, and this transformation will be profound. In this context, my dear and friend, Marc Armengol, is the perfect CEO to deliver our targets for '26 and '27 because he has the managerial skills. But beyond, Marc brings strategic vision and delivery, combining CEO experience with developing and executing corporate strategy in the U.S. and in U.K. He has proved his commercial mindset at TSB, where he has improved competitiveness by getting even closer to customers. He also brings exceptional technological, operational and digital expertise from business integrations to large case transformations in Spain, U.K., U.S. and Mexico. And very important, he knows everything about Sabadell. He is definitely not a newcomer. As a matter of fact, this is the first internal CEO appointment since Sabadell went public over a quarter of a century ago. And I think this proves maturity for this great institution. All in all, that is the right time for the bank to address this change. It is the right moment for me, and it is the right moment for Marc. And before moving to the result presentation, let me repeat it one more time. We have announced my resignation and the appointment of a new CEO, but we remain fully committed to delivering our plan and reaching our financial targets for '26 and '27. Key messages for the next full year, we are in Page 4. Given that the TSB sale is expected to be completed during the second quarter of 2026, we are presenting figures with reference to the ex-TSB perimeter. First, volumes grew at mid-single digit during the year, performing loans increased by 5.4% and customer funds by 6.4%. Second, core revenues performed in line with expectations with NII at EUR 3.6 million, while fees were up by 3.6% year-on-year. Third, asset quality continued its positive trend. Total cost of risk declined by 16 basis points and stands at 37 basis points. Moreover, NPAs decreased by 17% year-on-year, while the NPA coverage ratio stood at 64%, up 2 percentage points versus last year. Fourth, this year's shareholder remuneration is EUR 1.5 billion. We have already distributed EUR 700 million through 2 interim cash dividends. And in addition to this, we will allocate EUR 800 million to a new share buyback program. We have already received authorization from ECB and the program will start on Monday. Finally, return on tangible equity stands at 14.3% and the core Tier 1 ratio is 13.1%, after deducting the excess capital that will be distributed. During '25, before dividend accruals, we generated -- I think this is a big number, 196 basis points of capital. Slide 5. And this is a little bit of a reason why. Let me explain why Sabadell is well positioned to keep improving its profitability looking forward. We have a clear strategy that supports profitable growth, as we shared last July during the presentation of our strategic plan. Our ongoing transformation focuses on delivering growth alongside improved asset quality. Although this means marginally lower loan yields, these are more than offset by a much lower cost of risk. Overall, this results in both profitable growth and stronger capital generation. This is a structural and permanent looking forward. Let me explain a little bit further on this. I mean the probability of default is now at the levels of which we wanted. That is done. And the impact on the P&L is immediate because, of course, you lose income, because you're doing less risky assets. But the benefits of that come over time, and it depends also on the duration of the different portfolios. We will still see tails for a long time in terms of -- in the different products. We will see tails of improvement of the risk cost, and we will see tails of improvement of the capital generation due to this. And this is perfectly in line, as we said, with the strategy, and I think it will yield over the course of the year. And furthermore, it makes the bank very sound. But however, and now going to the right-hand side of the slide, following the tender offer period, our business was a bit less dynamic than expected for a time. And we have now clearly regained our commercial momentum. For instance, month-on-month evolution of on-balance sheet funds in December '25 was better than in December '24. And new lending to SMEs was also higher in December '25 than '24. And -- furthermore, and this is meaningful, customer acquisition in December '25 was also significantly higher than in '24. To sum up, we have solid fundamentals and a clear strategy that will support profitable growth and capital generation going forward. Let's go to Slide 6. Performing loans excluding TSB remained flattish quarter-on-quarter and grew by more than 5% year-on-year. At TSB, lending volumes at constant FX remained flattish in the quarter as expected. Moving on to customer funds. On balance sheet, funds regained momentum and increased by 3.4% in the quarter. And this momentum, as we just saw, was more towards the last part of the quarter. Off balance sheet funds also continued to perform well, rising by 1.9% in the quarter and 14% in the year. All in all, in '25, we increased our loan book by EUR 6 billion and our customer funds by EUR 11 billion ex-TSB. This represents mid-single-digit growth, which is in line with our guidance. And this in combination with the growth of capital because growing capital generation but not growing the business is not as attractive as doing both things at the same time. Let's move to Slide 7, loan origination in Spain. In Q4, new mortgages decreased by 3% year-on-year. We have been reducing our market share in new mortgage lending over the past few months as front book yields have compressed. We remain focused on managing our new lending through risk-adjusted return on capital, ensuring that growth is delivered in a profitable manner. New customer loans -- consumer loans in Q4 increased by 8% on a year-on-year basis. In the whole year, new lending of consumer loans increased by 16%. Quarterly new loans and credit facilities granted to SMEs and corporate decreased by 15% year-on-year. This results in a slight decline of 5% if we compare with the full year of '25 with '24. On the other hand, origination of working capital finance remained broadly stable in the year. All in all, a strong performance in new lending during the year delivered loan book growth across all products and segments. If we move to Slide 8, regarding payment-related services in 2025, card turnover increased by 6% year-on-year, while point-of-sale turnover increased by 2%. Let me share that the merchant acquiring business will remain within our perimeter looking forward. Therefore, we will keep this fee income stream. Regarding savings and investment products, we reached a total stock of EUR 70.6 billion in December '25. This represents an increase of EUR 4.2 billion in the year, driven by an increase in off-balance sheet products of EUR 6.5 billion, most of it becoming -- EUR 4.6 billion coming from net inflows. In Slide 9, the breakdown of performing loan book across segments and geographies excluding TSB. In Spain, performing loans fell by 0.9% in the quarter. Mortgages and consumer loans posted positive growth in the quarter. On the other hand, the SME and corporate lending fell by 3.6% quarter-on-quarter, mainly due to the fact that these firms have been growing less heavily on their credit facilities. Year-on-year, performing loans in Spain increased by 5.2%. The mortgage book grew by 5%, consumer loans delivered double-digit growth and the stock of SME and corporate loans increased by 2.4%. The international operations also delivered strong momentum, with performing loans rising by approximately 15% year-on-year at constant FX. If we move now to Slide 10, the U.K. business. As expected, TSB's performing loans and customer deposits remain broadly stable on both quarter-on-quarter and year-on-year. Looking at the main lines of the P&L, NII increased by 7.2% in the year, in line with high single-digit guidance. Fees, which are less relevant for the U.K. business, declined by 15% year-on-year. Total cost decreased by 2.6% in the year, also in line with the guidance, in line with the 3% decline guidance. Provisions increased by around 50% year-on-year. Let me remind you that in '24, TSB recorded releases related to the improvement of macroeconomic assumptions. The resulting cost of risk in 2025 was 13 basis points, considerably better than the 20 basis points guidance. All in all, TSB's net profit reached GBP 61 million in the quarter, translating into almost GBP 260 million for the full year. This implies growth of around 25% in 2025. Stand-alone return on tangible equity was 13.5% despite maintaining a high level of solvency, with a core Tier 1 ratio of 16.7%. Finally, tangible net asset value increased by GBP 154 million between April and December. This, together with the additional TNAV to be generated until the closing of the transaction, will be added to the GBP 2.65 billion sale price, ensuring that TSB continues to contribute to Sabadell until the transaction closes. On Slide 11, a summary of our results. In '25, we posted net profits of EUR 1.8 billion. This represents a 3% decline year-on-year. It is worth noting that when adjusting 2024 net profit for extraordinary items, net profit actually increased by 3.4% year-on-year. All lines have been performing in line with the expectations. Sergio will explain the P&L in more detail shortly. To conclude this section of the presentation, I will outline our shareholder remuneration. The amount for 2025 has been improved to EUR 1.5 billion. This is 9% of our market cap. 2025 remuneration includes EUR 700 million in cash, which have already been paid, and EUR 800 million in share buyback. Last year, we paid 2 interim cash dividends, one in August and one in December of EUR 350 million each. These distributions will be followed by a final dividend of EUR 365 million as well as a EUR 435 million of excess of capital. These amounts to EUR 800 million via share buyback program scheduled to begin next Monday. No doubt, exceptionally, the final dividend will be distributed entirely through a share buyback. The main reason is that we believe that the stock is currently trading at a discount to its fair value, making a buyback the best option to reward our shareholders. We expect to distribute EUR 2.5 billion across '26 and '27, which also represent 9% of the market cap each year, once we deduct the extraordinary dividend related to the sale of TSB. All in all, we are on track to deliver on our commitment to distribute a cumulative EUR 6.45 billion of remuneration over '25 and '27. On top of that, we reiterate our commitment to deliver an annual cash dividend per share above EUR 20.44 from '26 onwards. I will now pass the floor to Sergio, who will provide a more detailed overview of the bank's financial performance.
Sergio Palavecino: Thank you, Cesar, and good morning, everyone. Let me begin by presenting the full detailed P&L. As we will explain during the presentation, the annual performance shows an alignment with our year-end targets. We recorded a net profit close to EUR 1.8 billion or EUR 1.46 billion when excluding TSB. Before we go through each line, I'd like to highlight a few extraordinary items and reclassifications recorded this quarter. Firstly, on the trading income line, we recorded an expense of EUR 15 million related to the exchange rate hedging on the full proceeds from the sale of TSB. This impact will be recurrent until the transaction closes. Secondly, and following the termination of the agreement to sell the merchant acquiring business, we have reclassified EUR 23 million from other provisions to depreciation and amortization. The impact of this on net profit is neutral. Finally, on the gain on sale of asset line, we adjusted EUR 20 million related to certain IT and software assets. We will now review the main P&L items in more detail, focusing on Sabadell's performance, excluding TSB. Starting with NII on Slide 15. We recorded EUR 3.6 billion in NII for the year, fully aligned with our guidance. In the quarter, Sabadell ex-TSB delivered close to EUR 900 million, broadly stable versus the previous quarter. Now let's look at the top right-hand side of the slide to understand the drivers behind this quarterly evolution. Moving from left to right, customer NII had a positive impact of EUR 2 million. Within this, the customer margin decreased by EUR 7 million due to the negative repricing of variable rate loans. Although interest rate pressure on loan yield has already eased significantly. The good news is that volumes more than offset the customer spread compression. ALCO, liquidity and wholesale funding contributed by EUR 3 million, supported by lower refinancing needs and lower spreads. Other items had a combined impact of minus EUR 9 million. This mainly reflects the negative impact of certain interest rate hedges related to the fixed rate mortgage portfolio. TSB added EUR 11 million positive this quarter, reaching EUR 314 million as the contribution from the structural hedge was higher than the depreciation of the sterling. For 2026, we expect NII to increase by more than 1% with a clear acceleration throughout the year. In fact, we expect NII to bottom in first quarter '26, mainly due to fewer calendar days and the final repricing of the variable rate loans. From that point, it should grow steadily quarter after quarter, being the fourth quarter of '26 mid-single digit higher versus the fourth quarter of '25. For these estimates, we are assuming interest rates to remain at the same levels as at the end of 2025. We are expecting volumes to perform in line with what we have seen this year, around 6% growth in loans and between 3% to 4% in on-balance sheet funds. Loan yield could decline some basis points in the first half of the year, but should return to current levels driven by higher growth in consumer and SME lending. On cost of deposits, we still see room for further improvement as we reprice the last part of the term deposits. And finally, the impact from the sale of TSB bonds in the ALCO portfolio will be offset by savings in wholesale funding as we will have lower MREL funding needs after the sale. Leaving the NII line aside and moving on to fees. Fees and commissions within the ex-TSB perimeter increased by around 4% year-on-year. Asset management and insurance fees were the main contributors, growing by 15% year-on-year. This performance was driven by strong volume growth in off-balance sheet funds, with -- fully aligned with what we presented at our Capital Markets Day. The fourth quarter was the strongest of the year, with ex-TSB fees rising by 6% quarter-on-quarter, supported by a strong commercial activity and the seasonal uplift in asset management and insurance fees, including a success fee component of EUR 12 million. Looking ahead, we expect fees to increase by mid-single digits in 2026. This growth will be, again, largely driven by asset management and insurance fees. Moving on to the costs on Slide 18. Total ex-TSB costs increased by EUR 44 million in the quarter, mainly driven by 2 factors: first, a reclassification of EUR 23 million from other provisions to amortization following the termination of the merchant acquiring agreement with Nexi. Consequently, going forward, the quarterly run rate for ex-TSB amortization line is expected at around EUR 100 million. And second, the special remuneration in shares to all employees related to the end of the takeover bid amounting to EUR 16 million. All in all, total costs at ex-TSB increased by 2.5% year-on-year. This evolution is totally consistent with the target of low single-digit growth, despite the reclassifications recorded at the one-off personnel costs I have just explained. For 2026, we expect total costs including amortization, to grow by around 3%, fully in line with the strategic plan targets. Moving on to Slide 19. We will now cover credit cost of risk and other provisions. Total cost of risk for the year 2025 was 37 basis points, better than the already improved guidance of 40 basis points for the ex-TSB perimeter. Meanwhile, credit cost of risk fell to 24 basis points, which represents 9 basis points reduction in the year. Now looking at the bridge of the different components of the total provisions for this quarter, on the top right-hand side, we booked EUR 107 million of loan loss provisions, excluding TSB. Then we had EUR 8 million positive impact by driven -- impact driven by real estate asset disposals, [indiscernible] double-digit premium. NPA management costs remain in line with the usual run rate. Other provisions, mainly related to litigations and other asset impairments, were impacted this quarter by the EUR 23 million reclassification previously mentioned. And finally, TSB provisions were EUR 18 million this quarter. For 2026, we expect total cost of risk to remain at around 40 basis points, underpinned by positive asset quality dynamics and the gradual impact of our risk management measures. This better asset quality will offset the potential shift in business mix as we expect stronger growth in companies and consumer lending. Moving on in the next section, I will walk you through asset quality, liquidity and solvency. On Slide 21, we can see that nonperforming loans and coverage ratio continued to improve during the year. Within the ex-TSB perimeter, NPLs decreased by close to EUR 700 million over the year, demonstrated continued success in portfolio derisking and proactive credit risk management. As a result, the NPL improved 66 basis points to 2.65%. The reduction in NPLs is also consistent with the improvement in Stage 2 loans, which declined by more than EUR 1.3 billion in the year. Finally, the coverage ratio increased by 3 percentage points, reaching 69%. Moving on, in terms of foreclosed assets, net NPAs as a percentage of total assets remained comfortably below the 1% threshold, confirming the bank's structurally improved risk profile. The stock of NPAs declined by 15% year-on-year, equivalent to more than EUR 800 million in absolute terms. Meanwhile, the coverage ratio has improved by 2 percentage points. The sales of real estate assets continued their positive trend as 23% of the stock was sold over the last 12 months with an average premium of around 10%. On Slide 23, we are happy to see the continued improvement in asset quality over the past 2 years, explained by 3 favorable dynamics: a consistently declining NPL ratio, a quarter-on-quarter improvement in the cost of risk, along with a higher coverage ratio. Turning now to liquidity and credit ratings. In short, liquidity buffers have remained broadly stable over the year, with credit ratings improved, as you can see on this slide. Standard & Poor's upgraded our rating by one notch to A- with a positive outlook. During the year, Moody's and Fitch also upgraded our rating by one notch to Baa1 and BBB, respectively, both with a stable outlook. Turning to the next slide, we can see our current MREL position, which stand well above the required levels. It is also in line with the buffer of more than 200 basis points set as a threshold in our strategic plan. It is important to note that in 2025, we issued a total of EUR 3.1 billion across the capital structure as well as through covered bonds. We also carried out 3 securitization transactions with significant risk transfer during this year using both synthetic and cash instruments. Let me highlight that once the TSB sale is completed, we will deconsolidate TSB's risk-weighted assets. And therefore, our funding needs will be lower this year. Note that we currently have excess buffer in AT1 even excluding the EUR 500 million issuance that we have just announced that it will be called in March. On the next slide, we can see that we have been able to generate 196 basis points of capital while growing our loan book at mid-single digits. Looking at the quarterly evolution in more detail, we recorded 20 basis points of capital generation before deducting the accrued dividend. This includes 25 basis points from organic CET1 generation after deducting AT1 coupons minus 6 basis points from higher risk-weighted assets, mainly from the update of operational risk, representing minus 14 basis points, and partially offset by the release obtained through the SRT transaction completed in Q4. Then the accrual of a 60% dividend payout ratio had a minus 29 basis points impact, bringing the capital ratio to 13.65%. Given that we are distributing EUR 435 million of excess capital, 54 basis points must be deducted, which takes the CET1 ratio to 13.11%, and in place, an ample MDA buffer close to 400 basis points. With that, I will hand over to Cesar, who will conclude today's presentation.
Cesar Gonzalez-Bueno Wittgenstein: Thank you, Sergio. On Slide 28, you can see the achievement of our 2025 targets, a summary of the new guidance for '26 and the reconfirmation of our 2027 strategic plan targets. As we have seen throughout the presentation, the 2025 results have been in line with our year-end guidance. For '26, the guidance we are giving the main P&L lines points to recurrent return on tangible equity ex-TSB of around 14.5%, considering tangible equity of roughly EUR 10 billion. Of course, the return on tangible equity that will be reported will be higher because it would include the TSB impact. Our business model, which is built around strong capital generation, allows us to reconfirm shareholder remuneration of EUR 2.5 billion across '26 and '27. Last but not least, we are reconfirming every single one of the targets for '27 that we presented at our Capital Markets Day. And to conclude the presentation, I would like to summarize a little bit of our equity story. First, Sabadell is a franchise that pursues growth while preserving asset quality. This has been a major turnaround of the last years. Since the tender offer finished, we have been regaining commercial momentum, and we have room to gain some market share in a growing market in the products and segments of our choice. Second, we have strong capacity to generate capital while continuing to grow, which enables us to offer attractive shareholder remuneration. Third, it's all about execution, and this team knows about that. We've been consistently delivering on our guidance since '21, and we are now -- and we now have a clear path towards a 16% return on tangible equity in 2027. And all of this comes while we are trading at a discount to peers in terms both of total shareholder yield and multiples such as PE. Our distribution yield, meaning dividends plus excess capital returned to shareholders, was around 9% in 2025, and is expected to remain around that level in '26 and '27. This compares with a peer average of below 6% for '25. When looking at PE multiples, it's important to adjust Sabadell for market's cap for the extraordinary dividend associated with the disposal of TSB. Many market participants, we believe are not fully doing this. Once adjusted, Sabadell is actually trading at below 9x earnings, while Spanish peers are trading well below -- well above 10 times. There is therefore a clear opportunity here with considerable upside potential for Sabadell's stock. That's why the entire amount pending distribution to shareholders, the final dividend and the excess capital will be executed through a share buyback starting on Monday. It will be equivalent to more than 5% of our market cap, significantly higher than any other Spanish peer. And with this, I hand over to Lluc.
Lluc Sas: Thank you, Cesar. We will now open the Q&A session. Given the limited time available, we would appreciate if you could please keep your questions to a maximum of 2. So operator, could you open the line for the first question, please?
Operator: First question is coming from Maks Mishyn from JB Capital.
Maksym Mishyn: [Audio Gap] in target? Could you walk us through the mathematics? And the second one is on deposit growth. Ex-TSB, it has slowed in the fourth quarter and grew below the sector average. Can you please walk us through your thinking on why this is happening? And what will you do to recover growth?
Sergio Palavecino: Thank you very much, Maks, for these questions. In order to help with the mathematics of the NII for 2027 that we are confirming, it will be at around 3.9%. We've been sharing in Slide 16, what are the expected dynamics on the quarterly NII. And as you can see in the slide, we expect the trough in the first quarter of the year because we will have a fewer number of days. We still have the last part of the repricing of the variable rate loans, the ones replacing with Euribor 12 months. But then from there on, we will have the tailwinds that we are currently enjoying for volumes that cannot be seen in NII because of the headwinds of customer spread. Customer spread will stabilize. And then by the second half of 2026, volumes will be on -- compared to the quarter of the previous year, already growing at the mid-single digit. That dynamic in our view, will continue into 2027. And as customer spread will increase a little bit, we are still expecting our customer NII to get close to 300 basis points in 2027. Also, the rates today are somewhat more positive as we see that Euribor 12 months in 2027 will steepened somewhat. So the dynamics that we show for the end of 2026 will continue into 2027. And yes, in our mathematics, they will lead us to NII that will be close to around EUR 3.9 billion. And then the second -- your second question was deposits -- deposit growth. Deposit growth, it was, year-on-year, at 3.6%. It has accelerated from the third quarter, as you mentioned, but this is rather due to very strong growth, really strong growth in the fourth quarter of last year. So when we look at our dynamics on customer funds, we see that currently are strong. Customer growth -- customer funds have growth more than 6%, that's EUR 11 billion growth, a bit skewed towards the -- of balance sheet products: EUR 6.5 billion growth in the off-balance sheet products, EUR 4.5 billion growth in the on-balance sheet. The -- when you do the average growth of deposits, it's actually EUR 4.5 billion. So as Cesar has mentioned, we have acknowledged that we got some minor impacts during the tender of a period in September or October. But we have -- we're very happy to see that we have fully recovered the commercial momentum and December has been very good, and all commercial feedback getting into the new year is good. So we are positive on the volume growth that we are sharing with the market today.
Cesar Gonzalez-Bueno Wittgenstein: I think, indeed, that's spot on. And I think that at the core -- at the helm of the hostile takeover, of course, there were some decline in balances, but we see very clearly the recovery, the momentum and everything is on track for the future, and that's why we're very positive.
Operator: Next question is coming from Francisco Riquel from Alantra.
Francisco Riquel: So first of all, congratulations, [indiscernible] 2 questions for me. First of all in a year -- I want to ask about the quarterly NII bridge in Slide 15, particularly on the core also others with EUR 9 million of interest rate hedges then you can give details on these hedges, what impacted in '26. If that should unwind in '27 or not. Also, if you can comment on the impact from the TSB, MREL and quantify, and the impact in '26 and '27. Also [indiscernible] NII and the improvement in the customer spread, that just said by end of '26 despite reducing the cost of deposits [indiscernible]. So how do you plan to achieve that? Do you think that you have been overpaying for online deposits in '25 and you will adjust your digital offering? And will you grow deposits even if you make less? And then my second question is on costs. Your 3% cost guidance for '26. I understand you include the full year impact of the D&A related to the merchant business, excluding that to cost inflation of just 1%. What type of efficiency measures will you implement to get there? And how can you reassure that you will not be under-investing in the technological transformation?
Sergio Palavecino: Thank you, Paco, for your questions. Let me see if we got them all. The first one is regarding the hedges that we show in Page 15. I think we already shared with you guys in the third quarter that we're having an impact on the hedge that we have of the fixed rate mortgage portfolio. As you know, the Spanish market now for a number of years and us in particular, we have been originating virtually everything in mortgages in fixed rate. And now it's been a number of years and recently quite a strong production. So that's a lot of duration, and therefore, we've been hedging that duration. That means that the hedges we pay fixed as we get pay fixed in the mortgage. And we received Euribor 6. So these hedges -- we pay fixed, we received Euribor 6. Euribor 6 has been trending down for a number of quarters, but the good news is that this has been the last quarter, the way we see it, because Euribor 6 has been already flat in the fourth quarter. So in the -- going forward, we no longer expect impact from the hedge, of course, connected with Euribor 6 and then if Euribor 6 goes up and down, of course, it will have an impact. But so far, with the current level of rates, it should be flat. And then your second question was on MREL. MREL currently -- the MREL bonds of TSB are roughly EUR 1.4 billion, and the spread is around 200 basis points. That MREL then is -- MREL that we raised in group in the capital markets. So when this -- we will no longer have this income, but we no longer have the cost in the wholesale funding. This may take some quarters, but at the beginning, we will also have the help of the price that we will get from the sale. Initially, it will be close to EUR 5 billion. If you add up the price of the shares and the price of the bonds, and that will yield in the treasury account, and that will also help to -- that will combine with the savings in the wholesale funding, altogether will offset the impact of the lower MREL of TSB in the ex-TSB perimeter. And for deposits, yes, we expect, as we have written in the presentation, still somewhat reduction in the cost. And this is not only connected with the online, of course, it's also connected with the online. On the online, we have a strategy like any other one-off acquiring, having a very attractive offer, acquiring customers, and then we manage the acquisition. Connected with that, we have an offering, then the price of the book will go down in March, and we will keep on having new offerings. It's a dynamic, of course, product. And we're quite happy because it's been quite successful. The reduction is more coming from term deposits 1 year, 2 years that will come due, either have already matured at the end of the last quarter or will mature in the first quarter of 2026. And we -- when this is renewed, when this is -- the price is lower, connected with the lower prices that we have in the market. And finally, cost that you mentioned, the reclassification of EUR 23 million that we did is permanent because we are not considering the sale of the payment business. The payment business is going to remain within the perimeter. So therefore, the -- it's apple with apples. So the comparison with 2026 and the increase in the 3% is not going to be distorted by that. So in the 3% rate and CAGR that we already shared with the market in the Capital Markets Day, there are 3 major components: salaries, we are expecting salaries to grow at inflation and that is, let's say, close to 2%; then we are seeing general cost flattish, thanks to the different efficiency initiatives that we are running in the bank; and then amortizations connected with the investment in IT are going to be higher, probably at mid-single digit or so. So we are really allowing ourselves with the room that we need in order to keep investing into the business so that we ensure that we make this business growth as we expect. And I don't know, Cesar, if you want to add something?
Cesar Gonzalez-Bueno Wittgenstein: Yes, just on the -- I think it. Just on the digital account and to explain a little bit the rationale and the commercial rationale of all of it and so forth. First, more than 50% of our new client acquisition comes from digital, and we think that, that is a phenomenal success. And when interest rates were at 4%, we paid 2%. But now that interest rates are at 2%, we are going down, as you mentioned, Sergio, to 1% starting on March. This is very attractive because it's a full service and with all the gadgets current account that at the same time has a remuneration, but it is capped at EUR 50,000. And therefore, what it is doing, it is attracting customers with 50% of their payrolls, 45% of them do payments every day. And we are getting them to be part of the bank in an attractive way. So this is not a funding strategy. But nevertheless, because the volumes are starting to be significant, now it is the time to reduce the payment from 2% to 1%. It has already been announced to clients. It needs a lead period until you can implement from the moment you announced, and it will happen on March, and it will have progressively impact -- some impact. It's around EUR 30 million year-on-year over the course of the year.
Lluc Sas: I would kindly suggest to switch off the microphone when the analysts are asking the questions because we've been told that they cannot hear the questions when they talk. So operator could you open the line to next question, please? [ Technical Difficulty ]
Sergio Palavecino: Thank you, Britta. Regarding the MREL dynamics, that the maturities in the group are quite front loaded. So actually, what we are seeing is that by the fourth quarter of 2026, the impact of the sale of the TSB bonds will have already been -- will be already -- being offset by lower funding needs in group already in the fourth quarter of 2026. Regarding the volume developments that you wanted to discuss. At the end of last year, as you can see, we're seeing mortgages growing at a 5%, consumer at a high double digit and SME corporate is growing at a low single digit, right? We are seeing corporate and SME poised to accelerate growth. So in our expectation of 6% growth of the loan book, we are considering still consumer loans to grow at a double digit, SMEs and corporates to accelerate from the current low single digit to mid-single digit. And we expect some -- this acceleration on the growth of mortgages from the currently 5% to maybe something between 4% or between 3% to 4%. Those are our assumptions and those are the assumptions that give a combined net growth of 6% in the loan book. And I think there was a last question?
Cesar Gonzalez-Bueno Wittgenstein: That was about the liability side, but let me just add a couple of comments here. I think this is what Sergio explained, is just in line with what we did during the during the Strategy Day, corporates and SMEs above, mortgages in line, and consumer loans well above. And on the liability side, I think what we are expecting is a larger growth than we originally expected from the on-balance sheet part, and that will partially compensate. On the mortgages, I think there has been a lot of hype around this. And I have to say that when the interest rates of the new production were above the 8-year swap, we were gaining market share. We got to a point in quarter 3 '24 in which we went -- when this gap was still positive, we went to almost a 9.5% market share of new acquisition. We are down to 7% purposely, strategically, so we are not gaining market share. We have been declining over the course of the quarters until for Q4 '25 in which we landed at 7% market share of new production. And that is purposely because despite the fact that they have positive RaRoC of above 20% or around 20%, their margin is negative and the investments and the upfront costs are important. So their value creation in the longer term, but they have a negative impact in the short term on the P&L and certainly, in NII, they are not the most exciting thing. But nevertheless, with the cross-selling, they become attractive. So this confirms in a line that has had a lot of discussion, which is mortgages that we will be in line with our current market share, which is approximately 7%, and adapting up and down depending on the attractiveness and the pricing of the market.
Sergio Palavecino: Yes. And I think your last question was regarding our expectations of the ALCO book. When we say it's the ALCO book, it's mainly connected with our liquidity and with our ALM. Liquidity is expected to remain strong because on top of this dynamics of loans and deposits, we will have the inflow of the price of the TSB transaction. So when we look at the expected evolution of liquidity will be positive, and that we also expect liabilities, current accounts to grow. So we expect a marginal growth on the ALCO book in line with the balance sheet.
Operator: Next question is coming from Ignacio Ulargui from BNP Paribas.
Ignacio Ulargui: Congratulations. I just have one question on costs and one question on capital. So looking to costs. I was just wondering whether at a given point in time, you could consider using part of the capital generation that you have to fund an early retirement plan or a voluntary scheme so that you can -- have to compensate on that side, the investments that you have in IT? And the second question on capital generation, I mean going forward, is there any lever that could accelerate the capital generation that we see for 2025 around 200 bps? Then anything that we could have in terms of DTA that could accelerate the capital generation going forward?
Cesar Gonzalez-Bueno Wittgenstein: I think -- on the first one, I think there has been a long time since we did the restructuring in '21. That means that the age of part of the population here at Sabadell is 4 years older. And therefore, I think we are starting to consider, starting as there's nothing final yet as ongoing and without nothing extraordinary, but we are starting to consider that there could be some early retirements from now on. And as I say, it's not a major thing probably, but we are looking into it as we speak.
Sergio Palavecino: And regarding capital generation, Ignacio, it's been quite strong as we have explained in 2025, 196 basis points. It has also -- it has benefited from the impact of the first application of CRR3, also from the 3 securitizations that we have done. And it's important to take into account that we are self-financing the growth in the loan book. So going forward, we are actually looking at fantastic opportunities of keep increasing the loan book. So of course, that has been taken into account in our projections. And therefore, we think that they both consider profitability, but also growth. And of course, growing the loan book, it weighs on capital, but we believe that it's a very good opportunity to actually improve profitability going forward. So the capital generation is connected with both the increased level of profitability and the good momentum in the loan book growth that we're seeing. [ Technical Difficulty ]
Lluc Sas: Matthew, we cannot hear you. I don't know if you have unmuted your mobile. Could you please check that? Okay. Yes, we can hear you now, yes.
Unknown Analyst: Sorry for that. So yes, I have 2 questions, basically. The first one is on the EUR 2.5 billion distribution accumulated in '26, '27. If you can give a bit of color on the mix between cash buyback? And the second one, a bit more generic, on the impact. Do you think the neobanks, fintechs, new entrants are having in terms of the deposit cost environment in Spain. So we're seeing a lot of banks actually launching digital campaigns like you guys, Bankinter, et cetera. So I'm trying to understand, actually, to what extent that is also driven by the fact that you have new players exploring that type of segment?
Cesar Gonzalez-Bueno Wittgenstein: So on the first one, and you can complete, of course, Sergi. The EUR 2.5 billion, the distribution between what is dividends and what is share buybacks, of course, will depend on final decisions of the Board and we cannot anticipate that. But what we have is a commitment of distributing 60% of the proceeds through dividends and no less than EUR 0.20-plus per share per year. And we expect in excess of capital generation over that. And it would make sense at that point in time that, that would be share buybacks. Neobanks have been in play for a while. I think they have an impact. I think I was very close to that because the first kind of neobank was ING Direct, 25 years ago. And they continue having an impact. They acquired a lot of customers, and that's mainly the account opening, where they have more success. The challenge for them, and that doesn't -- it's not a negative comment at all. The challenge for them is cross-selling, deep selling, having savings, having a number of things. So we certainly see that there is a challenge there, but we continue seeing very successful, as I mentioned before, that our digital account is bringing a significant number of clients, and it will be at 1%, as I mentioned before, not for the acquisition, which will still have promotions and the forth. And it's 50% of our acquisition. So we can live with them, and we congratulate them because, of course, in terms of number of accounts, they are doing extremely well.
Operator: Next question is coming from Carlos Peixoto from CaixaBank.
Carlos Peixoto: Yes. Actually just a couple of follow-up questions on my side. So when you're discussing the outlook for NII in 2027, you mentioned 300...
Lluc Sas: Carlos, Carlos, I don't know if you could check your microphone, please, because we cannot hear you very well. Could you check that or speak louder, please?
Carlos Peixoto: Yes.
Lluc Sas: Yes, much better, much better, yes. Thank you, Carlos.
Carlos Peixoto: Okay. So as I was saying, that basically a follow-up question. So the 300 basis points customer spread improvement to 300 basis points that you mentioned is it something that you see as being achievable already before year-end 2026? Or something that you intend to get to by 2027? And also, along with that or in those lines, I might have missed it, how much do you expect volume growth, loan growth and deposit growth to occur? And how much you expect in 2027, you see at a level similar to the 2026 levels? Just trying to get a closer -- better reach to the EUR 3.9 billion in 2027.
Sergio Palavecino: Yes. Yes. Thank you, Carlos. Of course, we'll do our best. The customer spread at the end of this year has been 288 basis points. And it will -- in our model and our expectations, it will be marginally higher, but probably very few basis points at the end of 2026. And then it will keep on gradually growing until reaching the -- around -- at around 300 basis points that actually we share with you guys at the Capital Markets Day. Regarding the composition of the expected volume growth behind that assumption at the end of the day, we, in Capital Markets Day, we guided for a CAGR of mid-single digit of loans and deposits. I think we were at a rate of 4%. So I think we are on track to get to those volume growth. In 2025, the Spanish economy performed very well. GDP expanded by 2.9%, in 2026, the consensus is already above 2%. So connected with this growth, we expect a similar levels of growth in the loan portfolio and in the deposit book. So similar rates of growth we are assuming for 2026 at this moment in time.
Operator: Next question is coming from Borja Ramirez from Citi.
Borja Ramirez Segura: I have a couple of questions on the NII outlook, please. So firstly, I understand that after the sale of TSB, your MREL requirements may be lower. So maybe there's some opportunity for funding cost savings in case you're able to amortize more expensive MREL issuances? And then my second question would be on the digital deposits. If you could kindly provide the amount outstanding of the digital deposits. And also, what are your expectations for the costs and the volumes of digital deposits going forward? And lastly, I would like to ask on, if you could provide details on corporate CapEx outlook and investment from corporates in Spain, please?
Sergio Palavecino: Thank you, Borja, for your questions. Regarding the first one, connected with MREL. MREL requirement will not decrease after the sale of TSB, but it's a percentage of the risk-weighted assets. What we -- what it will go down are the risk-weighted assets once TSB is sold. And then as a matter of fact, once we have less risk-weighted assets, we will have a lower total amount of MREL requirements, right? So that's why we're saying that after the sale, we will issue -- we will have lower funding needs, and therefore, we will have -- we will be issuing less in the market. So the -- we will sort of fix this by not rolling the coming maturities. So it will be very natural. And yes, we will have savings from not rolling the maturities and therefore, having a lower fund -- lower capital -- lower wholesale funding needs. And then for the digital deposits, would you like to take this one, Cesar?
Cesar Gonzalez-Bueno Wittgenstein: Yes, on digital deposits, we have, from the beginning, decided not to give the exact numbers. And what I can say again and repeat is that this is more than for the volumes, it is for the customer acquisition and for the whole relationship that comes with it and the cross-selling that comes with it. I already shared that the new pricing and review the pricing will give us a saving of around EUR 30 million on full year terms, and that starts on March. It's 50% of our acquisition, it's relevant, and I think we can leave it at that. In corporates and SMEs, we closed the year at a growth -- with a growth of 2.4%. And as we mentioned before, looking forward, loan demand from corporates and SMEs remain solid, and we have particularly a strong pipeline of medium- and long-term loans. Therefore, we are confident that the growth will accelerate back to mid-single-digit levels. And by the way, the front book yields and spreads remain stable.
Operator: Next question is coming from Pablo de la Torre from RBC Capital Markets.
Pablo de la Torre Cuevas: My first question -- your guidance for -- you mentioned an insurance worth...
Lluc Sas: Pablo, so sorry to interrupt. I think -- we cannot hear you very, very clear. It looks like the sound is -- I don't know if you could check your mobile or could you try again, please?
Pablo de la Torre Cuevas: Is it better now?
Lluc Sas: I think so. Can you start the question, please?
Pablo de la Torre Cuevas: Yes. Sure. And my first question was degrowth in 2026, you mentioned...
Lluc Sas: Pablo, Pablo, I'm afraid, it doesn't work. I don't know if you could please send us or send me an e-mail, and we'll -- I will read the question for you, if it's possible. I'm sorry for that. So operator, could we move to the next question, please, while Pablo is sending us an e-mail?
Operator: Next question is coming from us from Hugo Cruz from KBW.
Hugo Moniz Marques Da Cruz: Can you hear me? So my 2 questions. So first of all, on OpEx, I mean the 3% -- and I'm talking about slide, I think it's 28. So the 3% CAGR seems like an acceleration versus '25. And when you've talked about the moving parts, staff growing, inflation, there have been flat D&A growing, I think, mid-single digits. So I just can't see how we get to 3%. I get to more something like a 2%, 2% in EBIT. So is the guidance too conservative on OpEx? And the second question is similar. Cost of risk. You have a slide where the total cost of risk keeps coming down, ended at 37, but then the guidance assumes you pick up to 40. Again, are you being a bit too conservative there or not?
Sergio Palavecino: Yes. Thank you, Hugo, for your questions. We try to be prudent and the guidance on cost has the components that we have just gone through. What we would say is that we are very comfortable with the 3%, and this means that we're not going to be higher than that. So we will work, and Cesar mentioned, some different work streams that we are already exploring so that we can improve the outlook for growth in costs and therefore, improve efficiency going forward. Regarding cost of risk, in 2025, we have reported a 37 basis points cost of risk. 24, credit, 13, others. For 2026, again, we're very comfortable with the 40. We think that credit cost of risk is not going to be higher than 30 basis points, and the -- all the rest is going to be around 10. So again, it's a very comfortable cost of risk that takes into account that we are seeing a very growth momentum in things like consumer and SME, and that may marginally add a little bit more because we are not seeing any increase in cost of risk in the different products. But of course, the cost of risk of consumer is higher than the ones in mortgages, for instance. So growing progressively more in consumer has an impact. Actually, that impact is rather offset by the good performance in the cost of risk of each different product. So what -- I think what I would say is that we feel very comfortable in the guidance of this cost and cost of risk. Could you agree with that, Cesar?
Cesar Gonzalez-Bueno Wittgenstein: Yes, I agree fully. And I think the perfect expression is we feel very comfortable with the 40 basis points. Is it conservative or not? The time will tell. But as I think we tried to explain during the presentation, the fact that we have reached a much clearer and lower levels of probabilities of default across all product lines has a lagged effect on cost of risk and on capital generation. And therefore, that's a tailwind that should help the cost of risk. How much of that will be offset by a change in mix into more profitable and better yielding products like the consumer lending and the SME lending in which we expect marginally more growth and significant more growth than the market in consumer lending? How much that will offset that? It's difficult to know. But in general, I think the perfect expression is that we feel confident with the 40 basis points.
Lluc Sas: Okay. Then we also have the questions that Pablo sent to me. The first one is regarding the asset management and insurance business. So if we could elaborate a little bit more on the assumptions that we've made in terms of market impacts and others when we guided for this fee growth for 2026? And the second one is regarding the breakdown of the on-balance sheet funds between fixed term and current accounts going forward.
Cesar Gonzalez-Bueno Wittgenstein: Yes. I think we'll share this one. From a qualitative perspective, I think we are growing very handsomely already in asset management. And I think we are in record productions in terms of insurance. Over the course of the years, I think we are going to see that fees gradually increase as a percentage of core banking revenues and therefore, reduce somewhat the bottom line P&L sensitivity to interest rate movements, and that's on the back of asset management and mortgages.
Sergio Palavecino: Indeed, in 2025, we had a very sound growth in Asset Management and Insurance. This was 14% growth. And the growth that we see in fees connected with that was 15%. So we are seeing that clearly, the revenue is fully connected with the volumes. And for 2026, we're expecting a similar pattern with double-digit growth in insurance and asset management. Very happy, very successful performance in the business. Regarding on-balance sheet funds, Out of the EUR 128 billion, I think, of on-balance sheet ex-TSB, roughly 1/3 of that is remunerated. So more than 2/3 are non-remunerated. So more than EUR 80 billion are stable and transactional current accounts, not remunerated, and the other 1/3 is term deposits or remunerated current accounts. And that is connected with the different customers that we have and the different franchises. Of course, the remunerated part is the part sensitive to interest rates.
Operator: Next question is coming from Cecilia Romero from Barclays.
Cecilia Romero Reyes: Congratulations, Cesar, on your trajectory, and also wishing you all the best for the next stage. So my first question is a follow-up on a recent question. Looking at recent trends, the new production has been largely dominated by mortgages and consumer lending. And you also expect, during the call, and in your strategic plan, your intention to grow in corporate and SMEs. And I was just wondering if you were able to specifically tell us what's the cost of risk you are observing in SME and corporate lending, and also in consumer lending where you have been expanding quite rapidly? And then just a small one on fees. I just wanted to make sure that the fees from your payment business have been included in the fee line for the entire 2025. So just wondering if the 5% growth is like-for-like '26 versus '25?
Sergio Palavecino: Let me take the second one, and thank you, Cecilia, for your questions. Regarding the fee lines, yes, fully comparable. So the payment business fees are included in the 2025 reported figures and the expected growth considers the same. So the answer is yes.
Cesar Gonzalez-Bueno Wittgenstein: On the first one, I don't think we have given a specific cost of risk for consumer lending or SMEs. The only thing I can tell you is that the PDs have gone down by 50% since '24. And that is the major driver for the cost of risk. And we are at the level in -- we have reached the levels of cost of risk that we want to have on the longer term, although as I said before, they will take some time to go fully through the P&L, both in terms of cost of risk and capital generation.
Lluc Sas: Okay, we've got one final question. So operator, please?
Operator: Last question is coming from Lento Tang Bloomberg.
Lento (Guojing) Tang: I have a follow-up on the hedging on the NII. So the EUR 9 million, I'm just wondering how long is this hedged? And what is the sensitivity to Euribor? And then another question on your ambition of the international business.
Lluc Sas: So I guess, Lento, the last question is regarding the international business, the strategy, okay.
Sergio Palavecino: Okay. Let me take the first question, the hedge of the fixed rate mortgages. I think we just mentioned that hedge is connected with this fixed rate and is a hedge where we pay fixed, we receive a floating Euribor 6. As Euribor 6 has been going down, that is the source of the impact. But the good news is that Euribor 6 months has been already stable for a number of months. So this will be -- this effect will fade completely in the next quarter. And Cesar, would you like to take the one on the international business?
Cesar Gonzalez-Bueno Wittgenstein: Yes, I think -- well, Mexico and Miami represent more or less, give or take, 5% of our capital each. And we are seeing currently quite a lot of opportunities for growth. They are profitable. They have positive returns on tangible equity. And we have been seeing that the growth in '27, I mean, our expectations of our growth for '27 are higher than the national growth, but that doesn't mean a change in our ambition. It's marginal. It's not very significant. It's just that we are seeing opportunities there. They are very linked to our verticals in which we have a lot of expertise. They are linked to Spanish customers. So it's difficult to separate what is international and what is national. And the 2 verticals in which we do extremely well is, especially, hospitality and energy and to a lesser extent, civil engineering.
Lluc Sas: Right. So that concludes our presentation today. Thank you, Cesar and Sergio, and thanks to all of you for joining us today. If you have any further questions, the Investor Relations team is always here to help. Have a great day.
Cesar Gonzalez-Bueno Wittgenstein: Thank you very much.
Sergio Palavecino: Thank you.